Operator: Good day, ladies and gentlemen, and welcome to the Ethan Allen Q4 earnings release conference call. [Operator Instructions] 
 I would now like to introduce to introduce today's conference call, Mr. David Callen. You may begin, sir. 
Dave Callen: Thank you, Kevin. Good morning. I'm David Callen, Ethan Allen's Vice President of Finance and Treasurer. Welcome to Ethan Allen's earnings conference call for our fourth fiscal quarter ended June 30, 2013. This call is being webcast live on ethanallen.com, where you will also find our Press Release, which contains supporting details including reconciliations of non-GAAP information referred to in the release and on this call.
 Our comments today will include forward-looking statements that are subject to risks, which may cause the actual results to be materially different than expected when making those statements. Please refer to our filings with the SEC for a complete overview of those risks. The Company assumes no obligation to update or revise any forward-looking matters discussed during this call.
 After our Chairman and CEO, Farooq Kathwari, provides his opening remarks, I will follow with details on the financial results. Farooq will then provide more details about our ongoing business initiatives before opening up the telephone lines for questions.
 With that, here is Farooq Kathwari. 
M. Kathwari: Thank you, Dave. And thank you for participating in our conference call to discuss our fourth quarter and fiscal year ended June 30, 2013. We had excellent earnings results for the fourth quarter and the fiscal year ended June 30. We could have done even better on increase of our top-line. That is our next opportunity.
 As I indicated in our press release that both of our written and delivered sales were somewhat impacted by several factors, including significant reduction of clearance from prior periods, lower international shipments to our international licensee and, importantly for the written in the fourth quarter, by timing of a price increase.
 Fiscal 2012, we had a price increase effective July 2013 resulting in larger written in June 2012. This year our price increase, ranging from 2% to 7%, will be effective August 2, thereby taking written business to July instead of June. We are already seeing the positive impact in July.
 While Dave will give more details, the impact of this in the fourth quarter, the written, was that instead of a decline of 1.9%, we estimate a positive increase of 2.1%. On the delivered side, eliminating the impact of clearance and lower international sales would have resulted in about a 3% increase and delivered for the fourth quarter. However, as I said, our main focus is increase the top-line, which I will spend time in discussing after Dave gives a brief overview of our financial results. Dave? 
Dave Callen: Thank you, Farooq. Consolidated net sales during our fourth quarter were $182.3 million, 1.7% lower than the prior year quarter. As expected and as discussed during our third quarter call, our net sales were impacted by lower shipments to an international retailer as they reduced their inventory and by 30% lower clearance sales through our retail division. You will recall that clearance sales impact both our delivered net sales and our written quarters. 
 Our retail segment net sales for the quarter were $145.3 million, up 1.1% including comparable design center net sales growth of 2.5% and the 30% decline in clearance sales noted earlier. Our Retail division's written orders book during the quarter were 1.9% below the prior year and included comp store orders that were 0.9% below the prior year. Again, the written order growth was negatively affected by the 30% decline in clearance sales compared to the prior year fourth quarter.
 The 147 design centers operated by the company's Retail division at the end of the quarter were equal to the count at the end of the prior year. Our wholesale segment net sales of $106.7 million were down from -- down 5.4% from our prior year. This includes the impact of the lower shipments to our international retailer.
 Our global retail network included 295 design centers at June 30, 2013, compared with 298 locations at the end of last year. Independent retailers operated 148 of these, including 68 in China. This compares with 151 independently operated design centers last year. 
 Our consolidated gross margin for the quarter improved slightly to 54% from 53.9% in the fourth quarter last year. Our Retail division made up 79.7% of our consolidated net sales for the quarter, compared with 77.6% of the prior year, which helps the consolidated gross margin. This was partially offset by a $0.4 million lower year-over-year benefit in consolidation from the sell through of retail inventory. We continue to see operational improvements in our wholesale business, including leverage of our operations in Mexico and Honduras.
 Our adjusted operating expenses for the quarter were $80.9 million. This year-over-year reduction of $4.8 million or 5.6% demonstrated again our focus on disciplined business initiatives. The current year excludes $1 million or $0.02 per diluted share incurred primarily for our international expansion. Please refer to our press release reconciliation tables showing the adjustments made to our results for all periods. 
 Our adjusted operating income for the quarter was $17.5 million or 9.6% of net sales compared to $14.2 million or 7.7% of net sales the prior year, an increase of 22.7%. This includes an improvement of $5.2 million in the adjusted operating profit of our Retail division on their 1.1% increase in net sales.
 During the fourth quarter, we bought $24 million of our bonds, which mature October of 2015. Costs related to that transaction total $1.9 million and are included in our other income line. We have treated these one-off costs as a special item adjusted from our results. 
 Our normalized income tax rate for both the current year and prior year was approximately 36.5%. Adjusted earnings per diluted share for the quarter increased 26% to $0.34 per diluted share from $0.27 the prior year.
 Consolidated net sales for the full fiscal year were $729.1 million, essentially even with the prior year. The Retail division's full year net sales grew 3.4% to $578.3 million. Our Wholesale segment full year sales -- net sales were $434.4 million, down 4.9% from the prior year which had grown 8%, in part from higher than normal shipments of prototype products during our significant product overhaul last year.
 Consolidated gross margin for the fiscal year improved 110 basis points to 54.6% from 53.5% the prior year. Adjusted operating income was $68.8 million or 9.4% of consolidated net sales, up 32.9% versus the $51.8 million or 7.1% of net sales during fiscal 2012. This includes an improvement of $24.1 million in the adjusted operating profit of our Retail division on their 3.4% increase in net sales. Our adjusted net income in fiscal 2013 increased 39.6% to $38.4 million or $1.31 per diluted share from the $27.5 million or $0.94 per diluted share earned the prior year.
 Now a few comments on our balance sheet and liquidity. As I mentioned earlier, we bought $24 million of our bonds during the fourth quarter, bringing our outstanding balance down to $129.4 million. Even with this transaction and having paid $22 million in dividends and $19 million for capital assets during the year, our cash and securities at June 30, 2013, totaled $103.6 million. We reduced our inventories $18.5 million or 11.9% this year, ending with a balance of $137.3 million. Our balance sheet is healthy and we are well positioned to aggressively pursue our business initiatives.
 Here is Farooq to discuss those initiatives further. 
M. Kathwari: Yes, thank you, Dave. I wanted to give a very, very brief overall financials before, when I spoke earlier. But let me again reiterate, even though Dave has given most of the financial -- I mean, all of the financial information that -- just the highlights. That for the fourth quarter, keep in mind, our adjusted net income increased by 26%, our operating income by 23%, our gross margin remained strong at 54% and, importantly, the Company Retail division adjusted operating profit increased $4.2 million from a loss of $1 million. And as Dave said, we're pleased that we purchased $24 million of the bonds and also then ended up at June 30 with $104 million of cash.
 Now for the fiscal year, also, we made lots of progress. From a financial perspective, our adjusted net income grew 39%, our operating profits by 33%, our gross margin increased 110 basis points to 54.6%. Now the Retail division adjusted operating profit increased to $14.5 million, a positive change of $24.1 million from the previous year. And as Dave also mentioned, we increased the cash dividends to stockholders by 176% to $22 million and also we have managed our inventories quite well.
 Now during fiscal 2013, we had many initiatives to position us for growth, including strengthening the Company Retail division. During the year, we further strengthened management, closed 2 design centers that were fading dollars, relocated several to new locations and we are starting to see positive results and we expect them to continue.
 Technology has been an important focus during the year. This included migrating our website to a cloud environment, enhancing our retail and manufacturing systems and a stronger focus on use of digital mediums for marketing. Recently, we have also enhanced the Express program with strong digital marketing.
 In our Manufacturing and Logistics, during the year we made continued progress in improving the efficiency of our North American Manufacturing and Logistics. We are continuing to invest in the new -- our newest facility in Honduras. During the year, we invested in our international expansion. We expect during fiscal 2014 to substantially reduce the cost of the international expansion.
 During fiscal 2013, Company opened new design centers in Brussels, Antwerp and Montreal. At this time, we have number of new design centers under construction by our licensees, including in Amman, Jordan; in Korea, there's a third one there; the third in Philippines; a new one in Bucharest, Romania; and recently a new design center that, in June, was opened in Jeddah, Saudi Arabia.
 Finally, during fiscal 2013, we concentrated on developing programs to help us reposition our brand to reach a larger consumer base, both Baby Boomers and Gen Xers. Many of you saw the projection of our Danbury design center in June at our Investor Conference. As you saw, the Danbury design center projects the new, eclectic attitude in design, products and signage. We have migrated our focus from a furniture store to a stylish home design center reaching a large consumer base.
 Our objective now is to complete the transformation, by end of September, of about 200 design centers in North America and many locations in other countries, to this projection. We plan to start a major marketing campaign in the fall to launch the program. As I've indicated, we expect to spend about a little over 5% on advertising efforts on a sort of an annual basis, from the average of about 4% to 4.2% we have been spending so far.
 With that, I am happy to open it up for any questions or comments. 
Operator: [Operator Instructions] Our first question comes from Brad Thomas of KeyBanc Capital Markets. 
Bradley Thomas: First, I wanted to just talk a little bit about the current pace of business. You called out the timing of the price increase as one item that should have helped the July sales in this fiscal first quarter. First, I would just want to ask have you moved to where the written orders are now positive. 
M. Kathwari: Yes. They're very strong in July so far, Brad, and as I'd indicated, we took the June business to July and, so far, they are trending very, very positive and we expected that to take place. 
Bradley Thomas: Great. And then with respect to the shipments to China, do you feel like those partners are at the right inventory levels now and have you started to resume growth in shipments to China? 
M. Kathwari: Yes. What we expect is that -- keep in mind, as I said the last time and also now, they have continued to grow in sales. So they were getting out of the excess inventory and they are substantially out. They are now starting to place new orders and, in this first quarter, we expect still about a 20% lower shipment than we did in the previous year, not 70% or 80% that we had in the last 2 quarters. 
Bradley Thomas: Okay, great. And then maybe just lastly, as a big picture item, when we look back at your fiscal 2013 as a whole, sales were about flat for the year but to your point, Farooq, the Company had very strong growth in EBITDA and earnings. As we look forward here to this coming year, what's the right contribution margin or flow-through margin to think of? Are there still opportunities to improve profitability even if the sales don't pick up? Or, I mean, do we really need to see sales to get an increase in profit? 
M. Kathwari: Well as you can see, we made a great progress in our Retail division. And we are -- I actually spent a lot of time in that. We got a strong, strong management, we made many, many improvements and we saw $24 million positive contribution during the year. And that is really -- still we have a lot of opportunity there. Now I'm talking about, even with relatively small increase in sales but, Brad, we need to increase sales and that's where our focus is and we got a very, very strong marketing initiative in place, starting actually in September is when we launch these new initiatives. So to answer your questions, I think we're going to get even -- relative small sales, our Retail division has the opportunity to continue to improve. But really at this stage we need to grow the top-line, even if in the mid-single digits. That has -- that I think will make also significant impact both at the wholesale level and the retail level. 
Operator: Your next question comes from Matt Fassler with Goldman Sachs. 
Halley Goodman: This is actually Halley Goodman on behalf of Matt Fassler. So our first question relates to the delta between written same-store sales last quarter and delivered same-store sales this quarter and we are wondering what drove the better trend in delivered sales this quarter? 
M. Kathwari: You are talking about the fourth quarter or the first quarter of this year? 
Halley Goodman: So the written same-store sales trends in 3Q compared to the delivered trends in 4Q? 
M. Kathwari: I see. Go ahead, Dave. I'm taking a look at it, too. 
Dave Callen: Well it has to do, partly Halley, because of the numerical value. You're looking at percentages. So the comp store decline in the third quarter was 2.4% and you are comparing that to the growth rate in comp store of 2.5% positive in the fourth quarter, correct? 
Halley Goodman: Correct. 
Dave Callen: Okay. So part of that is the numerical value, the total dollars of sales, the written orders in dollar terms is greater in the third quarter than the shipment dollars in the fourth quarter. And that does play -- so the percentages look a little funny when you make that comparison. But it's difficult to make that kind of correlation that you're trying to pose. 
Halley Goodman: Great. And our next question relates to inventory. What was the main driver of the large year-over-year decline in inventory and what are you plans for inventory for the next year? 
M. Kathwari: That's a good question. I mean, our inventories declined substantially and it declined actually in all areas, both from our raw materials to work in process and also some finished products. I believe that, as we move into this new year, they're going to somewhat increase. That's our expectation. From $135 million, maybe $4 million, $5 million is what we are thinking of right now, especially with the launch of these accessory programs that we are going to launch this fall. 
Halley Goodman: And will that additional inventory mainly come from those Accents and accessories versus furniture? 
M. Kathwari: I would say that 70% or so would be -- 70% or so would be in accessories and the rest will be furniture. 
Operator: Our next question comes from Todd Schwartzman with Sidoti & Company. 
Todd Schwartzman: Couple of things. When do the international cost start to moderate a bit? And maybe if you could quantify, on the full fiscal year basis, what you're expecting as far as a change in the international-related spending? 
M. Kathwari: Yes, I think that, at this stage, our best projection is that we spent about $1 million this last quarter. I think that most probably it will be reduced by at least 50% or so in our first quarter and then will be reduced by -- then will go down -- then be about 20%, 25% in the second quarter and, in the first 6 months, our objective would be this should be out of our system. 
Todd Schwartzman: Okay. And I heard what you said about the marketing advertising cost as a percentage of sales going to 5% from roughly 4% to 4.2% in recent times. How much of that is not new eclecticism related? Is that really the biggest piece or are there a lot of other parts there to speak of? 
M. Kathwari: Lot of it is going to be our expansion in reaching more consumers and the direct mail is a very important part of that. We have a very, very strong program of direct mail starting in September, in October and November and also we're looking at December. So direct mail is going to be the main part. And of course the new eclecticism really represents all our programs. So this increase basically means that we're reaching a larger consumer base, both Baby Boomers and Gen Xers, especially in our direct mail. 
Todd Schwartzman: Got it. And in the fourth quarter what did you see by product category in the way of written and delivered business? 
M. Kathwari: Well, interestingly, as you all know case goods is always -- has been a challenge. And we of course started a few years back as being a very strong case goods company. That still has shown declines even though the decline has moderated. Our upholstery was somewhat -- didn't grow but didn't go down. And our accents to some degree went down, too, and I think that, that is where the opportunity is, where all these new products that we have introduced is going to help us bring that business up. So I would say case goods, then Accents and upholstery was stable or slightly up. 
Todd Schwartzman: A little surprising to hear that Accents were down. You've made it, I think -- not that it wasn't a focus previously but I think in recent months, you've seemingly made it a little bit more of a focus. Can you speak to traffic trends or anything else that you think might be playing into that? 
M. Kathwari: Yes, the traffic was somewhat down for us and that's why we have looked at our advertising from base 0, we are looking at the mediums we are using and we are already starting to see positive trends in July. Of course, it also reflects this change in our prices. But I think it -- our advertising mediums and the message is also being changed to reflect -- to get more traffic into our design centers. Our traffic was not what we wanted it to be. 
Todd Schwartzman: Do you guys have any numbers internally regarding the catchment rates of Accents versus an Accent bought standalone, without the associated furniture purchase? 
M. Kathwari: That's a good question. I mean, we do have it but I don't have it handy. At this stage, I'm just giving you my sense of what we do. I would say at this stage about 85% of our business in Accents is done when we do a furniture and 15% is standalone. 
Todd Schwartzman: Is that something that you're looking to potentially change for competitive reasons? 
M. Kathwari: Absolutely. I think that when you came to Danbury, you saw the focus of creating shops, create layering of our products, bringing in a lot of Accents, even price points we have changed. So there will be a lot of focus and then we also have a very strong focus of delivering it pretty fast. So our logistics is also gearing up so that we will be able to ship it the next day -- the next day shipments of all the Accents that we purchase. We have a very major focus this fall. It's all about getting into business and, in fact, as I said, this fall we want to really be an important factor in this whole issue of Accents, which in the past really, the November to December period for us has been something -- we're almost out of the market. Not this year. 
Todd Schwartzman: Okay. And what are you seeing as far as commodity costs currently? 
M. Kathwari: Well, so far has been stable. We're -- so far. But there are some concerns on the plywood costs, hardwood plywood that we use in our frames and upholstery, it's having a lot of challenges there. So we are looking at it very carefully. We are looking at a lot of different resources and even though, for the year, our fuel costs were somewhat stable but recently we have started seeing major increases in fuel costs and, as you know, we deliver our products at one cost nationally. So we bear the cost, not the retailer. And approximately 25% to 30% of our fuel cost is represented by surcharges. So fuel is something and the cost of delivery is an important factor that we're watching very carefully and that's a concern. 
Todd Schwartzman: And finally, CapEx for the year for '14? 
M. Kathwari: Our objective at this stage really is to keep it close to our G&A [ph], $19 million both. 
Operator: Our next question comes from Jeremy Hamblin with Dougherty. 
Jeremy Hamblin: I wanted to just see if I could clarify something on the China impact. I think you had indicated that you expected in this quarter the impact to be about $6 million or so in revenues? 
M. Kathwari: Yes, Dave, that's right? 
Dave Callen: Yes, that's what we had indicated in the third quarter was the impact and expected something similar in the fourth quarter. 
Jeremy Hamblin: And so, then can we kind of infer from what you said that in the September quarter it's going to be kind of between $1 million and $2 million? 
M. Kathwari: Yes, closer to $2 million. Yes, you got your numbers right. 
Jeremy Hamblin: Okay. Then I wanted to just ask you about kind of the Fresh Colors line and see if you guys are getting -- what kind of response you're getting from that line of products and whether or not you're getting the marketing support you need in it? Is there anything that you kind of share on that front? 
M. Kathwari: As you know, the Fresh Colors objective really was to reach a younger consumer base, Gen Xers, through their children. So the Fresh Colors is basically a kids program. So we've given it a lot of emphasis. It has increased but I think -- as you know, it was really towards the end of the fiscal year we introduced it. You're going to see a lot more impact of that as we go forward and -- because of the fact that's very much tied to reaching the Gen Xers, which is our objective. Right now, our business, about 75%, 80% is Baby Boomers and 20%, 25% is Gen Xers. Our objective in this next year is to take it to 60%:40%. 
Jeremy Hamblin: Okay. And then in terms of the pricing, it sounds like 2% to 7% impact on pricing this year and that has the ability to move around your -- kind of the cadence of your delivered sales. I think we can -- can we assume then that sales -- delivered sales were better in the first half of the Q4, of the June quarter, based on what you said about June? 
M. Kathwari: I'm sorry, say that again. 
Jeremy Hamblin: I'm just saying, in the fourth quarter, can we assume, based on what you said about June results being impacted from last year's price increases that were in July, so presumably June was the weakest month of the quarter for delivered sales? 
M. Kathwari: Well, I was really talking about written sales. The written sales are -- were the ones that were impacted. Of course, we don't deliver that right away so whatever we write in June are going to -- were going to be delivered anywhere in this first quarter of fiscal 2014. So our written sales were lower, our delivered sales reflected our business in the previous periods. 
Jeremy Hamblin: Okay. Any color you can share then on the cadence of the quarter? 
M. Kathwari: You're talking of the quarter ended? 
Jeremy Hamblin: Correct. 
M. Kathwari: I think that -- I'm just trying to now -- Dave, take a look at it to see the impact. Obviously our June quarter was impacted because of the fact of this price increase. Last year, the June became -- the month of June as well as the June quarter was very positively impacted because of the anticipation of a price increase. But this year we didn't have that so, because of that, June was lower. But I think from a retail perspective, I think it was somewhat flat. 
Jeremy Hamblin: Okay. And then last question, just in terms of how we can think about company-owned and independently owned units for fiscal 2014. Any color you can share there? 
M. Kathwari: At this stage, I think it's more or less going to be stable. We are looking at -- our biggest focus really is improving what we have. And similarly with our independents, they're doing the same thing, too, realize more. We have -- as we have indicated even in these various models we give, I very strongly believe that we have the opportunity of at least going to $1 billion or doubling our business without adding a lot of new locations. Although we will do that. So I would expect approximately 200 or so design centers in North America; internationally, we will add some more. But the 200 are continuously being reexamined, relocated. We have a number of them going on right now that we will relocate to better trading areas as we move forward. 
Operator: Our next question comes from Budd Bugatch with Raymond James. 
Thomas McConville: It's actually TJ, filling in for Budd. Most of mine have been answered but, Farooq, I was interested in your commentary about targeting the Gen X versus Baby Boom and the incremental ad spend. So talk to us a little bit about the spending patterns of those 2 buckets, maybe what you think the impact of that transition does to your average ticket? And then, if you're going to spend about 1% more of sales on advertising, what -- is the incremental going to go new zip codes or how much of that are you willing to sort test the markets in areas maybe where you haven't been before? 
M. Kathwari: Yes. I think you have a good question about the impact on the average ticket. I think our average ticket is going to go down because of the fact our focus on selling Accents and especially in this fall period. Which is good, which means that we're going to bring in more traffic and we would expect this fall for them to buy a lot of our Accents and not necessarily buy them in conjunction with buying furniture. So we will see but I would expect it to come down and in a positive way. As far as advertising is concerned, our focus really is, as many people in our industry are doing, to target our advertising especially through a number of mediums, certainly digital is important but direct mail is very important, where we can really target based on age, based on income, based on demographics and that's what we intend to do and substantially increased our reach in direct mail starting in September. 
Thomas McConville: Okay, that’s very helpful. And lastly for me, the $24 million debt pay down during the quarter. Any expectations for future pay downs or anything we should be looking for this year? And I know you feel comfortable with the capital structure but any color you can add there would be helpful? 
M. Kathwari: Yes, as you know, according to the terms of our -- these bonds, we don't -- we cannot solicit. When somebody comes to us and offers us some reasonable terms then we think of buying them and that's what happened. And if others come in, we will be happy to consider buying our bonds because, on a plan basis, I don't want to have any debt for the time being. 
Operator: The next question comes from Cristina Fernandez with Telsey Advisory. 
Cristina Fernandez: So I wanted to ask, on the gross margin, it was up a little bit this quarter but less so than it's been. You've had very strong gross margin gains since 2010. I mean, are we getting to a point now where gross margin is -- expansion is just harder to achieve? So I guess I just wanted to get your sense of gross margin going forward and then also, will the Home Accents rollout here in the next 2 quarters have a negative impact on the gross margin as you clear inventory to make room for the new merchandise? 
M. Kathwari: No, I think very important issues. At this stage, I would think that we -- for the time being -- I never except anything the way it is but I think it is harder now to increase our gross margin from the 54-or-so percent that we have. Now on the -- we are going to have a gain -- we are starting actually next month, in August, with clearance events to clear for all the new products that are going to come in. Because in our system, I don't want products coming in unless something goes out. So we are having fairly significant marketing efforts in the month of August and partly in September to sell all our products because, as you know, in the -- as you saw in the Danbury design center, that we changed the projection even of the current products that we have in color, in feel, in texture, whether it is upholstery or case goods, even though they're not new products but, for the design centers, they're new. So on a wholesale side our plants are going to be very, very busy but it does have -- it's going to have an impact on inventory in terms -- and margin. So I would say that it's possible that our margins may be somewhat impacted, not much, as we go into our -- this August/September period but on the other hand we expect to sell a lot of these products. 
Cristina Fernandez: Okay. No, that's really helpful. And then just lastly on the competitive environment. I mean, are you seeing any significant changes? It seems to me that this last quarter was more promotional, not just for you but for the industry. Would you agree with that assessment? 
M. Kathwari: Absolutely, and in fact even though we've taken a price increase, we have also slightly, as you must have noticed, increased some of our promotional activity. So that also has an impact on this gross margin you talked about. While we are taking a price increase yet, on the other hand, we have to give a greater savings to consumers, which we are doing. And what we have seen, of course, in the industry, is some major ones, is oddly, some of the people in the competition are giving away 30% to 50 % to 70% everyday. 
Operator: Our next question comes from Todd Schwartzman with Sidoti & Company. 
Todd Schwartzman: I just have one more thing. What would EPS for this past quarter have been if international operations were excluded? 
M. Kathwari: They were excluded -- EPS. We already said $1... 
Dave Callen: We just talked about the net sales impact of the lower shipments but we don't really quantify the EPS impact of what it would have been if they had been flat. 
Todd Schwartzman: Okay. 
M. Kathwari: Sorry, are you saying is the $0.02 the impact of the international -- are you talking of sales or are you talking about P&L? 
Todd Schwartzman: Yes, P&L. Just remove the operations, just kind of looking at the core North American or, even better, U.S. business, what was the bottom line? 
M. Kathwari: $0.02 different. 
Operator: [Operator Instructions] 
M. Kathwari: All right. Looks like no more questions so thanks very much. Any questions, comments please let us know. And thanks very much. 
Operator: Ladies and gentlemen, this does concludes today's presentation. You may now disconnect and have a wonderful day.